Operator: Good day, and welcome to today's Just Eat Takeaway.com H1 2024 Results Conference Call. [Operator Instructions] And now, I'd like to hand the call over to Jitse Groen. Please go ahead.
Jitse Groen: Thank you, operator. Good morning, everybody, and welcome to this analyst and investor conference call to discuss the half year 2024 results for Just Eat Takeaway.com. On our corporate website, you can download the press release and the slides for this analyst and investor conference call. Before we go into the details of this presentation, I'm very pleased to say that we are joined here today by our new CFO, Mayte Oosterveld. She joined our company in early June, and I'm sure that I also speak on behalf of Jorg and Andrew when I say that we are very excited to work with her. So, welcome, Mayte. In the following slides, I will provide more color on the progress we've made on our strategic pillars and take you through the highlights of our performance for the Group as well as for each of the operating segments in the first month of 2024. Mayte will then present the financial results for the company and share further information regarding our cash position and free cash flow generation. I will end the presentation with some concluding remarks, after which, we will open the call for your questions. Jorg Gerbig, our COO; and Andrew Kenny, our CCO, are also here to provide answers. Regarding the question-and-answer session, as a reminder, we would request that each analyst ask 1 question only. On Slide 3, I would like to set a tone for today's presentation. Our key messages are, that the constant currency GTV growth for the group, excluding North America, was 3% in the first half of 2024; that our half-year adjusted EBITDA was EUR 203 million, representing an increase of more than 40%; that we generated a free cash flow of EUR 38 million in the first half of the year, an increase of EUR 160 million versus the first 6 months of 2023; that our positive free cash flow combined with a strong balance sheet allows for a launch of a new share buyback program of up to EUR 150 million; and, lastly, that we reiterate our guidance for 2024. Please follow me to Slide 5. Our GTV grew 3% year-on-year in constant currency for the Group excluding North America, in line with the 2024 guided range. GTV for the total company amounted to EUR 13.2 billion in the first half of 2024, down 2% compared to the same period last year, or minus 1% reported. Turning to Slide 6. On the left-hand side, you can see that the adjusted EBITDA for the Group was EUR 203 million in the first 6 months of 2024, which is a EUR 60 million improvement compared with the first half of 2023. The adjusted EBITDA margin as a percentage of GTV for the Group further improved to 1.5%. On the right hand side, our free cash flow before changes in working capital is provided, and Mayte will provide more details in her section of the presentation. But I would like to point out that driven by the increased adjusted EBITDA, we significantly improved free cash flow and generated EUR 38 million in the first 6 months of 2024, which is EUR 160 million higher compared to the same period last year. I'm pleased to say that our profitability improvement and free cash flow generation are well on track. Moving to the next slide. Our company has evolved a huge amount over the past 25 years as we have grown from a small online marketplace in the Netherlands to a global leader in on-demand delivery. At our heart, though, our core mission has remained consistent. We are here to make our customers' lives easier. We have only started to scratch the surface of the potential opportunity in our market. We started out as a food delivery platform, making it easier to get your weekly Friday night takeaway. We've already moved well beyond that, serving more and more occasions across the day and the week, and there is huge potential in new categories beyond food to deliver an even better experience and more convenience to our customers. Our vision, therefore, is to empower everyday convenience. That means, we empower customers to get what they want, when they want it, delivered straight to their door in a matter of minutes. And in doing so, we also empower our partners to grow their businesses with new consumers and new channels, and we empower our couriers to build their careers in a safe, flexible, and inclusive environment. We are excited by the scale of the opportunity ahead of us. Now, on the next slide, in terms of how we deliver on that vision, there are 3 core pillars to our strategy. The first pillar is providing the best choice and value. We have, of course, started decades ago by mainly offering pizza and kebab. We later added all types of cuisines, which is still an ongoing process. By expanding our logistical footprint, we are now able to not only offer every single restaurant, but also adjacencies ranging from convenience and grocery stores to pet food and iPhone cables. As the number and quality of partners drives order frequency and return rate, this is of the utmost importance to us. We also invest heavily in marketing and sponsoring to make sure that we are the consumer's preferred brand in most of the markets in which we are active. Our second strategic pillar is providing great experience while enhancing efficiency, and we are working hard to consolidate our tech platforms. As you may know, 1 of the disadvantages of mergers and acquisitions is that the result is that there is more than 1 platform in the business. I am glad that we are now moving towards having only one app in Europe, and we expect that more than 90% of European app orders will be faced with our new app by the end of this year. This platform consolidation will provide an improved user experience, accelerate innovation, and significantly improve speed to market of new product features. Ultimately, it will reduce costs by operating a reduced number of tech platforms. We also made significant tech investments to transform our logistics to having best-in-class experience and efficiency, and we have made several improvements to provide seamless and efficient customer care. While we have improved a lot of our internal processes, many of the changes now and in the future will be AI-driven. The first strategic pillar is around acting responsibly towards our people and the planet, which is, for instance, reflected in our attitude towards delivery couriers and legislation for example. In the segment slides, I will share more detailed information on the progress that we have made across our strategic pillars as well. Moving to Northern Europe on Slide 9. In Northern Europe, the GTV increased by 5% year-on-year in constant currency to EUR 4 billion in the first half of 2024. Adjusted EBITDA decreased slightly to EUR 186 million in the first 6 months of 2024 from EUR 191 million in H1 2023, reflecting significant investments and expanding delivery coverage. The adjusted EBITDA margin in Northern Europe at 4.6% of GDP remained 1 of the industry's strongest. On the back of these investments, Northern Europe again saw order growth in the second quarter of 2024. On the next slide, we provide more color on the progress of our strategic pillars in Northern Europe. With our marketplace offering, we already have nationwide coverage in most of the European countries, reaching 95-plus-percent of the population. But as mentioned on the previous slide, we have invested significantly in expanding our delivery coverage by entering new cities, expanding existing delivery zones, and widening opening hours. The bar chart shows that we have increased population coverage of our logistics services by approximately 1.5x over the past 18 months. This logistics investment is important as it strengthens our mode and platform for future years. In June, we launched a new customer loyalty program, JET+ to Amazon Prime customers in Germany and Austria. We believe this partnership is a fantastic opportunity to further grow our customer base. And while our online share in countries like Germany and Austria is already high, this partnership should drive an uplift in order frequency and population penetration. We plan to launch a paid version of JET+ in the second half this year. Furthermore, as I already said when I was going through our strategy, we are rolling out a new app across Europe and have launched in Austria and Germany in the second quarter. This new app will improve user experience, accelerate innovation, and significantly improve speed to market of new products product features in the whole of Europe. Moving to the U.K. & Ireland, where we have continued strong momentum while rapidly improving profitability margins through delivery efficiency gains. GTV increased by 6% year-on-year in constant currency or up 9% on a reported basis, reaching EUR 3.4 billion in the first half of 2024. In April, the U.K. business faced a difficult consumer backdrop due to the end of cost of living support payments in Q2 of 2023. Adjusted EBITDA increased by EUR 36 million compared with the first half of 2023 amounting to EUR 92 million for the first half of this year, mainly due to enhanced delivery efficiency following simplification of our delivery operation. With the adjusted EBITDA margin increasing further to 2.7% of GTV in H1 2024, the U.K. & Ireland segment is moving in the same direction as Northern Europe. Flipping to Slide 12. The transition of all U.K. delivery orders to our own platform was completed in July. This simplification marks a milestone for the company and has significantly improved costs per order, which improvement we expect to continue in H2. At the same time, we delivered continued strong growth in supply and choice, adding 11% more partners compared with a year ago. We continued to scale our grocery business as well and, as a result, we doubled the grocery share of GTV in the last 12 months. Part of the benefit from ongoing improvements in our delivery business were reinvested in marketing and promotional spend, while at the same time we were able to significantly improve profitability, proving the ability to grow both top and bottom lines simultaneously. On Slide 13, we show Southern Europe and ANZ, our smaller segment representing just 7% of Group GTV. While GTV has been stabilizing, our key focus here is on reducing losses. We improved adjusted EBITDA in absolute terms by EUR 6 million through lower order fulfillment costs and general cost control. We also launched JET+ to Amazon Prime customers in Spain in June, and in April, we discontinued the operations in New Zealand. Recently, we announced our intention to cease operations in France, reflecting our commitment to drive efficiencies and focus on building strong and sustainably profitable positions. While New Zealand has been excluded from these figures, France is still included. To conclude this section of this presentation, we move to North America. As I mentioned at the Q1 update, this segment now includes the mobile orders and GTV of Grubhub's large campus ordering offering that is available at more than 300 colleges and universities across the U.S., reaching 4 million students. In North America, adjusted EBITDA increased significantly to EUR 80 million in H1 2024, up EUR 29 million compared to the H1 2023, despite the ongoing headwind to segment profitability from fee caps as well as the introduction of minimum wages in New York City. In May, Grubhub announced an expansion of its partnership with Amazon Prime, whereby consumers who are Amazon Prime members can enjoy free ongoing Grubhub Plus membership in the U.S. This builds on the previous partnership announced in July 2022 by allowing Amazon consumers to order Grubhub directly from Amazon.com and from within the Amazon shopping app. In addition to our partnership with Amazon, we have also entered into partnerships with leading brands, including Starbucks, Albertsons, and Rexall, which accelerated our grocery and retail partner supply in both the U.S. and Canada. Grubhub continues to make strong progress towards cash flow breakeven with a free cash flow before generating working capital of minus EUR 4 million in the first half of 2024. And with that, I hand it over to Mayte for the financial results.
Mayte Oosterveld: Thank you, Jitse, and good morning, everyone. Before we get into financial performance, let me start by saying how delighted I was to join Just Eat Takeaway.com at the beginning of June about 2 months ago, and that I'm very much looking forward to talking and meeting with you all over the coming period. Let me take you to Slide 16 where we show the development of orders and GTV in the first half of the year. On the left-hand side, you see that on a Group level, we processed 446 million orders in the first 6 months of 2024, down from 469 million in the first half of 2023, which was driven by stable order levels in both Northern Europe and U.K. & Ireland, which represent 57% of total Group orders and declines in SEANZ and North America. Now, on the right-hand side, you see that Group GTV was down 2% year-on-year at constant currency and totaled EUR 13.2 billion in the first half of the year. As Jitse mentioned before, the GTV for Group excluding North America grew by 3% at constant currency, driven by the continued good momentum in Northern Europe and U.K. & Ireland. Moving to Slide 17. Total revenue declined by 1%, slightly above GTV growth, but more importantly, we made further improvements in revenue less order fulfillment cost per order, which increased by 7% in H1 2024 compared with the same period last year, mainly driven by delivery model simplification. Revenue less order fulfillment cost is a key metric for our business and therefore remains the core focus point. By continuing to improve our unit economics, we can ensure that we remain a cash generating business in the years to come. The improvements in fulfillment cost per order, in combination with lower central costs, resulted in a Group adjusted EBITDA of EUR 203 million. As a percentage of GTV, Group adjusted EBITDA increased by more than 40 basis points compared with last year, reaching 1.5%. On the next slide, we see the contribution of each segment to the improvements in adjusted EBITDA. And as Jitse already explained, the U.K. & Ireland and North America segments demonstrated a significant step up in profitability, leading to the improvement in Group adjusted EBITDA of EUR 60 million. Head office expenses were EUR 106 million in H21 2024 compared with EUR 100 million in H1 2023, which was mainly due to the cost inflation impacts. As you can imagine, optimization of overhead costs and further cost control measures will be an important focus area for me going forward. On the next slide, we bridge adjusted EBITDA to free cash flow for the first half of 2024. We significantly improved our cash generation, mainly driven by our enhanced profitability. In the first 6 months, free cash flow before changes in working capital was EUR 38 million versus minus EUR 78 million in the same period last year. Our capital expenditures amounted to EUR 81 million in the first 6 months of the year. CapEx mostly consists of our tech development costs, reflecting our ongoing investments in enhancing product experience and innovation. As communicated at our full year 2023 results, we expect CapEx for the full year to be slightly higher than in 2023, leaving a little under EUR 100 million of CapEx for the second half of the year. The weighting towards H2 is in part due to timing of product development, as well as the refurbishment of our office in [indiscernible], which will take place in the second half. Nonrecurring items were EUR 11 million in the first half of 2024, which was significantly lower than the EUR 62 million in H1 2023 and, as you may recall, last year included a EUR 36 million one-off tax settlement. As a reminder, given the nature of our working capital cycle where we received the GTV ahead of paying our partners, working capital cash flows are positive over time but are subject to volatility based on cutoff dates. This is a technical movement based on which day of the week the period ends. We therefore consider free cash flows before changes in working capital to give a better view of underlying performance and cash flow. To conclude this slide, we remain disciplined on items which sit below adjusted EBITDA and the P&L. Given the fact that we expect that our expenditure below adjusted EBITDA will remain more or less stable, we anticipate that the conversion of adjusted EBITDA to free cash flow will improve as we become more profitable and generate more cash. On Slide 20, we bridge the cash balance from year-end 2023 to the end of H1 2024. Cash and cash equivalents amounted to EUR 1.4 billion at 30 June 2024 in comparison to EUR 1.7 billion at year-end 2023. As you can see, our positive free cash flow and the working capital movement roughly offset each other. The reduction in our cash balance in H1 was therefore fully due to the repayments of convertible bonds of EUR 250 million in cash upon maturity in January and cash outflows in relation to the share buyback program, which in H1 were EUR 108 million. Moving to Slide 21. Here we summarize the combined results of the 2 share buyback programs that have been completed to date. The first program was initiated in April 2023 and completed in September of that year, and the second program launched in October last year and completed in May of this year. Under these 2 programs combined, we repurchased approximately 21.7 million shares at an average share price of EUR 13.81, representing 9.9% of issued shares. Turning to Slide 22, where we see our strong liquidity position and debt maturity profile. We remain well financed, and this strength allows us to make balanced investments into the business as well as decisions on our capital structure. Our positive free cash flow, combined with our strong balance sheet and taking into account the future debt and bonds and maturities, allows us to launch a new share buyback program of up to EUR 150 million. The program commences as of today and is expected to complete no later than March next year. In addition, we decided to cancel 5% of issued shares currently held in treasury to reduce the number of issued shares. The cancellation is expected to be executed in October following the completion of a legally mandated objection period of 2 months. And then, moving to the next slide, where we reiterate our guidance for 2024. We expect constant currency GTV growth, excluding North America, to be in the range of 2% to 6% year-on-year. We remain focused on profitability and expect to deliver an adjusted EBITDA of approximately EUR 450 million. In line with the top line growth trajectory and normal seasonality of our business, we expect adjusted EBITDA generation to be back-end loaded towards the second half of the year. We expect free cash flow before changes in working capital to continue to be positive in 2024 and thereafter. And to conclude this slide, we reconfirm our long-term target of Group adjusted EBITDA margin in excess of 5% of GTV. And with that, I hand it back to Jitse for the conclusion of this presentation.
Jitse Groen: Thank you, Mayte. I will continue with the wrap up of this presentation on Slide 25. To summarize, GTV growth for the Group, excluding North America, was 3% in the first half of 2024. Our half year adjusted EBITDA increased by more than 40% to EUR 203 million. We generated a free cash flow of EUR 38 million. We launched a new share buyback program of up to EUR 150 million, and we are well on track to achieve our guidance for the full year. And with that, operator, I'd like to open the call for questions.
Operator: [Operator Instructions] Now the first question comes from Luke Holbrook from Morgan Stanley.
Luke Holbrook: Yes. My question is just on the possibility of further market exits. We've obviously now seen you exit France and New Zealand. Just want to hear the possibility of another market exit by year-end. And can I just clarify, under the new share buyback program, will the shares be canceled or they be held in treasury for the time being?
Operator: Ladies and gentlemen, please standby as we're experiencing momentary technical issues. Please standby.
Jitse Groen: I think people could not hear us. I hope you can hear us now.
Operator: Yes, we can indeed, sir. Please proceed.
Jitse Groen: The miracle of phone lines in 2024. I will refer to the buyback question to Mayte later on. Regarding portfolio, we are constantly evaluating our portfolio. I think if you compare the situation, for instance, in France and New Zealand to other places in France and New Zealand, we were not market leaders, not by a long stretch, and we also had small operations. Now, our other operations that the countries in which we currently are active are large positions. They might not always be market leadership positions, but they are large, and usually they are quite well known brands in those markets as well. It doesn't mean that we are satisfied with the performance of all these markets. So we keep on constantly evaluating whether we dispose of markets, whether that's selling or anything else, or whether we entertain merger discussions for these markets.
Mayte Oosterveld: On the share buyback question, we currently have approximately 15 million shares in treasury. And as I said, we intend to cancel about 5%, which is between 11 million or 12 million shares of that, if we get -- in about 2 monthsâ time after the mandatory waiting period. And then the remainder will be used and held for our future share-based comp requirements. Obviously, we will review that over time, whether all of those will be needed, but for now, we're canceling the 5% and doing the next share buyback program.
Luke Holbrook: Okay. And the next share buyback program will be held in treasury for the time being?
Mayte Oosterveld: For the time being, yes.
Operator: We will now take our next question from Marcus Diebel from JPM.
Marcus Diebel: My question is on the U.K. and if you want to talk about it. I mean, clearly a major improvement in profitability is one of the key drivers, as you highlighted, for the increased Group profitability. How shall we think about this going forward? I mean, clearly it's coming from, obviously, you moving to your own delivery, you made this point. These effects will still go into H2, I suppose, or where do we have this kind of like year-on-year effect ending? Yes. I'm just trying to understand how much of this kind of like effect of own fleet delivery and the corresponding margin improvement. How long will that last on a year-on-year base? And when do we kind of like run into normal margin developments? And then the question is, what is the improvement from there? That would be my question. I hope that makes sense.
Jitse Groen: Yes, it does. I think just stepping back on the U.K. more generally, we're very pleased with progress overall. As you mentioned, we've been able to significantly step up profitability, while simultaneously investing more in the customer proposition, in marketing, in promotion. I think for those that have been following the story for a while, we'll have seen that sort of steady improvement over time in the proposition. Our choice of supply has really step changed. The grocery momentum that I think we talked about considerably at the full year numbers has continued, and we're continuing to roll out more and more brands there. Top of mind awareness is good. It's very, very strong and industry leading. And yes, we are now 100% on our own logistics platform. So, the benefits of all the investments and all the energy that is going into improving the Delco, what we call the independent contractor delivery platform, now scale out on 100% of the U.K. volume. So, the second half will see the full benefit of that, of course, which we didn't see in the first half. It's been steadily eroding over time that partnership exits, but I mean, that is only 1 part of it. The story over the last 12 or 18 months has been a combination of step changes in the technology, so introducing more sophisticated pooling and higher rates of pooling and other delivery efficiencies, as well as this partnership exit -- the third-party exit in the U.K. Now, the second part goes away, but the first part continues. And we still believe that we have a significant yard to go in driving increased efficiencies in all of our delivery markets. But obviously you'll see that notably play out in the U.K. Now, that won't be a -- that won't come in a single go, you'll see the steady improvements play out over time there. But we worked with [ Stewart ] for a long time in the U.K. The unwind of that relationship was never going to be straightforward, but I think the team has executed extremely well and we're now able to capture those significant savings.
Marcus Diebel: Yes. And since I have you related to this kind of like competitive environment, how do you see this developing in like, say, Tier 2, Tier 3, Tier 4 cities in the U.K.?
Andrew Kenny: I mean, the U.K. is always competitive. I don't think I'd articulate any major change in those cities, either Tier 1 or Tier 3, 4,5. So, I think it's not straightforward to do that. I think there is undoubtedly some kind of a consumer headwind that I think still exists in the U.K. We've managed to put up some good momentum on the GTV line, but orders are flat for the half. So, we're obviously very focused on changing that dynamic around. But we're very fortunate that we're in a position where we are continuing to invest more money in the market while being able to lift margins, and that dynamic is not always straightforward.
Jitse Groen: I think also, just to add to this, the way you grow a food delivery business, you basically need to grow free numbers, you need to grow your customer base, which actually I'm not going to give you that number for the U.K., but the most European market is actually growing number. You need to grow your order frequency. You grow your order frequency obviously by adding supplies or adding grocery, adding adjacencies, but also adding more restaurants. And 1 important thing for us is the increase of the return rate. Now, the increase of the return rate is more complicated because that's very closely related to the economy, how the economy is doing, because obviously prices went up, and not to say our prices, but food prices, and therefore the return rates, I think in the U.K., given where the economy is at, basically not growing, that's still something that's out of our control. These 2 other things, we can actually influence. So, if you see our business grow, it will be because of those 2 things that we have under our control.
Operator: We will now move to our next question from Joseph McNamara from Citi.
Joseph McNamara: It's, I guess, somewhat related to Marcus' question. I guess, you saw strong gross profit margin expansion in the half, 30 basis points strategically year-over-year. How much of that could be attributed to the process simplification you flagged? And is that in the UK&I, and I guess related to that, again, how should we think about the gross profit margin expansion potential in the second half, given -- and going forward, given, I guess, the UK&I process simplification kind of rolls off at some point?
Jitse Groen: Yes, let me take part of that question, and then hand off to Jorg, because we're working a lot on things such as cost control, but also simplification of our processes and automation of our processes because Andrew already spoke about the replacement of multiple models and we had 3 in the U.K. We were down to 2, and then we were down basically to 1.5 an hour -- or to 1. But we also have a lot of work still to do in improving basically our global delivery platforms. And that's a very rewarding process because we just save a lot of cost, and we also mostly make our delivery faster as a result of that. So I think that's part of it. But also, maybe Jorg can say a couple of things about it. When you are a business that also does a lot of delivery logistics orders, it is us being responsible for the delivery of the goods. So that also means that we're going to get a lot of complaints if things go wrong. We're going to get a lot of frauds because of basically the growing amount of logistics orders that we provide. And we can also improve our business to make sure that we get better at fraud detection or automatic replies, for instance, in the call center. So maybe you can talk a bit about what we've been doing.
Jorg Gerbig: Yes. Sure. I mean, on logistics, obviously, logistics is 1 of the biggest cost buckets we have in the U.K., for example, and any saving we do there has a significant impact on gross profit, but also on the profitability. And as we reflect from H1 2023 to H1 2024, we've reduced the cost per order -- per delivery order by 12%. So you can imagine that have actually a huge impact. And that's probably driven by the simplification of the model, like it was alluded to earlier, but it's also driven by technology advances. And the simplification of the delivery model has been completed in the U.K. in July 2024. So, the full impact is fully unfolding in the second half of the year, but the technology advances are continuing to go ahead further. I mean, in the past, we've spoken a lot about the pooling, for example, when we introduced pooling, which is a feature which we unlocked, and that will develop further because we're still about to roll out multi-partner pooling in some of our regions. So we haven't rolled out multi-partner pooling in all of our regions yet. So that will further be extremely effective in reducing our cost per order. And then, further on efficiencies, we're also improving courier performance to order flows and algorithm optimizations. And meanwhile, our investments in improved courier waiting times will also deliver a more seamless experience for all of our stakeholders. So, there's quite some more to come, and it's an ongoing process. Like I said, some of it has been coming through basically in the last 12 to 24 months, but there's quite some more to come. And given the size of that logistics cost piece, any percentage improvement in efficiency has a huge impact on the P&L and will allow us to invest further into growth in the business.
Operator: We will now move to our next question from Joe Barnet-Lamb from UBS.
Joseph Barnet-Lamb: Excellent. It's Joe from UBS. Firstly, congrats on strong print and welcome to Mayte. I also have many questions, I'll use my 1 on buybacks. With free cash regeneration higher than ever before, balance sheet strong and the share price where it is, why not do a larger buyback? And assuming that it's sort of general conservatism, as free cash flow ramps, do you see other uses of incremental cash flow, or is it fair to assume at the current time the buyback should ramp also as free cash flow generation ramps? Not looking for sort of specific guidance, but interested in the principles as you see them now.
Mayte Oosterveld: I think you point -- I'm happy to have inherited the strong balance sheet in combination with improving and positive free cash flows. And in terms of deciding of the current size and potential future sizes of a share buyback program, I think it is around striking the right balance between funding opportunities for growth, maintaining that strong balance sheet, including taking into account future debt maturities, but also returning excess cash to shareholders. And I think that sort of striking that balance is how we got to the EUR 150 million. And think to point out the obvious, this is our third program of EUR 150 million in a row. And you can see that over that period of time, the amount of cash returned to shareholders was a lot higher than the free cash flow generated. So, I think, at this point in time, I've been in the jobs for 2 months. I feel very comfortable with this decision, and I think we need to see how things progress to make the next decision.
Joseph Barnet-Lamb: Just as a follow-up though, as you view at the moment, are there other sources of free cash flow that you could see directing the cash flow towards or nothing more as you see at the moment?
Mayte Oosterveld: No. I think we're directing the cash flow to our plans, and that is that balance between investing in our business, but also the future debt maturities, and then what we see as access to sort of make sure that we have a comfortable balance sheet is what we will return to shareholders.
Operator: We will now take our next question from Andrew Ross from Barclays.
Andrew Ross: I wanted to ask about the U.S. and what you've learned since the integration between Grubhub and Amazon got deeper at the end of May. Can you give us a sense in terms of what was happening with order trends in the U.S. in April, May, how that's changed into June and July? Has it made any difference? What have you learned?
Jitse Groen: Yes, we're obviously bound to be a bit secretive about this deal. But generally, I think, probably speak from 2 sides of this partnership, this has been very helpful to us. As you know, with the fee caps still in place in New York, we lack the firepower to invest properly in marketing in the U.S. And this is just -- it's a fantastic tailwind for us. And to be quite frank, we're actually quite excited about the implementation in the Amazon product because it does provide us with a far easier way to activate these customers. Because you can imagine that if you compare the 2 programs, if you have 1 program which is basically sending out a link to a customer, the customer then has to actually sign up to something. It's actually a bit of a complicated process compared to just being able to order, just like these customers also use Amazon to order whatever they order on Amazon. It's just far easier, and you remove the hurdles. And I think from people that are not in e-commerce, the only thing that you try to do in e-commerce is to not have any hurdles for your customers. So to take away anything that could tempt your customers to not order, that's basically the task of running a good e-commerce marketplace.
Andrew Ross: To be clear, you are saying there has been a kind of noticeable uplift in orders since the change was made without quantifying it?
Jitse Groen: I think otherwise we probably would not have done it.
Andrew Ross: Okay, cool. That's helpful. Can I just follow up [indiscernible] in the U.S., because I'm sure I will get asked, but any idea around timing of the votes around the fee cap amendment? And if the answer is no, then it's a quick question.
Jitse Groen: I've learned over the years to be very patient with U.S. political processes.
Operator: We will now move to our next question from Christopher [indiscernible] from Equity Analyst.
Unknown Analyst: I'll follow up on Andrew's question with the U.S. business, if I may. First, I'm curious if there is anything new -- any more color you can say about the sales process? I think a couple of quarters ago, you hinted towards things being a little bit more -- or a little less dynamic, given the ongoing fee cap situation. Maybe there is an update on that? And then, coming back to the fee cap somewhat related, I know timetables or timelines on these kind of things are very difficult, but I assume that the settlement talks on this are still ongoing. Is there any sort of time frame you can give on that?
Jitse Groen: The last question is essentially the same question as the previous question, so I don't think we can look -- we framed quite close to the fee caps rolling off last year, but it did not happen. So again, we need to unfortunately be patient on this one. Clearly, the court case is progressing, so that should provide some additional pressure to resolve this in the U.S. Regarding the sales process, we talked to plenty of parties that the issue obviously is, for instance, the huge swing factor of these fee caps. So it's not straightforward to get to a solution there, but the sales process is ongoing.
Unknown Analyst: But on the court case, there is no date or anything that we should be aware of that you can share?
Jitse Groen: There's plenty of date. There's also plenty of dates in the political process, but again, it's moving in the right direction, but it's very hard to give you a date.
Operator: We will now move to our next question from Giles Thorne from Jefferies.
Giles Thorne: I was looking for a bit more color, please, on what's behind the change of leadership at Lieferando and what you'll be looking for from the new GM that perhaps Katharina didn't bring to the role.
Jitse Groen: There's not much behind it. To be quite frank, Katharina was in her role for, I believe, 8 years. So it's a normal situation that people sometimes want to look for other opportunities. In terms of what we have put in place is a very strong commercial executor. If you look very carefully at what sort of persons we try to put in country leadership, those are usually very commercial people, because, as we said before, especially these markets in which you're established and very large, it's all about commercial supply of partners and partnerships. So that's the most important thing you look for in a country director, whether these people are capable of pushing this business forwards by adding exciting partnerships. And for instance, we are making very, very good progress with supply -- basically partner supply in Germany. So we're very happy with the ease of that change.
Giles Thorne: But no radical shift in strategy in Germany?
Jitse Groen: No. Look, we are -- if you compare, for instance, our position in Germany to even the strongest player in the U.S., we are far stronger in Germany than that strongest player is in the U.S. So, our position in Germany is very strong, and we can only make it stronger by, for instance, getting more [Technical Difficulty].
Andrew Kenny: And Giles, and you saw, I mean, in the slides that Jitse went through, we've obviously launched a partnership with Amazon in Germany. We've launched a new app this quarter in Germany, which is very exciting, investing more in the key cities. The number of partners in the platform in Germany has increased significantly over the last 12 months. And we're expanding and investing significantly in our logistics capabilities both in terms of coverage, hours of operation, longer delivery [Technical Difficulty]. I would say, there's an intensity to what we're doing right now in Germany.
Operator: We will now move to our next question from Roman Reshetnev from Goldman Sachs.
Roman Reshetnev: Just to follow up on the U.K. & Ireland, the constant currency growth in second quarter there would imply a deceleration to 5% from 7% last quarter. Appreciate this could be driven by the seasonality of cost of living support payments in previous quarters. So, just wondering if you could share any estimate on second quarter underlying growth adjusted for this impact, and do you expect any customer support payments during the year?
Jitse Groen: Well, the support payments were fortunately by the government because otherwise it would be a very high check for us. Those were government support payments to the U.K. population that supported some -- it's interesting what people do with the money. Apparently, they order a lot with us if they get a check, which is good, I think. But that was last year, so that made for a difficult April outcome. Generally, we have these 3 things that we need to change in the U.K. to get more growth out of it. We've increased our marketing budgets, for instance, so we are attracting as a result or we should at least get more new customers in so that our user base grows. You will see more grocery chains being added to Just Eat in the coming months as well. So you see us grow our grocery business, you'll see us grow the partners, which we have done tremendously, of course, in the last year, also in the U.K. And because of the savings we're going to get from our logistical network, we'll be able to invest more money in the U.K. So, we'll do whatever we can to make sure that all the parameters that we can influence, and again, we can't influence the economy, unfortunately, that will be great, we can't. So, but the things that we can influence, we'll invest very heavily in. And don't forget, obviously we're by far the largest player in the U.K. Just the U.K. is still by far the largest food delivery business in the whole of Europe.
Operator: We will now take our next question from William Woods from Bernstein.
William Woods: I just wanted to ask about the rollout of Amazon partnerships into Europe as well. Obviously, when you look at the metrics on active customers returning, active customer rates and frequency, they're still going down or a flat. What are you seeing in the countries where you roll out the Amazon partnership and are you seeing those metrics go upwards and is it sticky?
Andrew Kenny: I think that's giving Amazon a bit too much credit in the post market. Look, we are probably, and I don't know any of the figures of other players, but we're probably the largest e-commerce business in Germany. So, opposition in Germany, for instance, is very strong. In most of the European countries, we are probably the largest e-commerce business in terms of transactions. In some of these markets, Amazon is also large, but in a lot of these markets, we are actually a lot larger than Amazon in terms of transactions. So it depends a bit on which market you are. The situation is obviously different with the U.S. where Grubhub is far smaller than Amazon. So I think while Amazon partnerships for us are always, always helpful, it depends a bit on the position in the country, whether you will be able to notice in our overall figures what the support is from Amazon partnerships. We wouldn't do them if they would not be supportive. But at the same time, when it rains for a week, that probably has a bigger impact than each partnership.
Operator: We will now move to our next question from Marc Hesselink from ING.
Marc Hesselink: Yes. A little bit coming back to some of the answers you already gave, but it's more fundamentally on the growth potential in Northern Europe and U.K. I mean, you're doing quite a lot of investments on the supply chain. You're saying that you're getting a bit of a pushback effect from the economy. But more structural, given the demographics, given the increasing order frequency in the higher supply, what kind of growth should you be in this business if you would have a normal economy? I understand you cannot really point to a number, just like structurally, how do you think about the growth potential of these businesses longer term?
Jitse Groen: Yes, that's almost a philosophical question. Look, I mean, we know, for instance, that the restaurant sector is in some of these countries shrinking. I mean, we've seen some figures in Germany, for instance, of this sector shrinking instead of growing. So, as we said, we can't control the German economy, but most European economies are growing at 0%. So that doesn't supply any tailwind. It probably also doesn't put up a headwind for us because we'll just do what we were doing. We'll add more customers and we'll try to increase the order frequency. Now, if the economy is going to grow in these markets, great, but I don't think we're very dependent on it long-term. Obviously, in getting out of the pandemic, our user base shrank. So that's different now, it no longer does that. So that's great news for us. The order frequency did not move tremendously between the pandemic and now, so that stayed roughly stable. So, look, the growth in Europe is entirely on us and on our ability to execute our strategy. And conceptually, we believe that we should serve 80% of the population in Europe. We only serve 35% of the U.K., for instance, and we want 80% of the U.K. population to order with us, and we would prefer if they do it more often than today. So that's basically, in a nutshell, how we think about where we should be as a business. Now, how long it's going to take? That's a whole different question. But that's the goal for this business to serve the entire population or almost the entire population with multiple occasions per week instead of a couple of orders per month.
Marc Hesselink: And then, the growth that you saw in the first half of the year, was that a bit like you expected it to be or?
Jitse Groen: I think if you can see that we are within the guided range, yes, I think that's safe to say.
Operator: We will now move to our next question from Silvia Cuneo from Deutsche Bank.
Silvia Cuneo: Just following up to the topic you were just discussing in terms of the frequency, I wanted to ask about your vision on convenience. If you could talk a little bit more about to what extent that is already contributing to order frequency, since I see the average monthly order frequency was unchanged year-on-year. Just trying to understand when, in your view, demand will follow the additional supply that you have introduced.
Andrew Kenny: Well, I think the clearest example is the U.K. We've spoken about this being roughly 5% of our GTV already, and that came from 0. So you can understand that it's quite supportive in increasing, first of all, your order frequency, but also in increasing potentially your user base, because you might not want to order food, but if you then want to order grocery, you can, or if you want to order something else, you can. The biggest opportunity clearly, currently is in grocery delivery. We see that everywhere, in all the countries in which we're active and these other adjacencies, such as pet food, et cetera, they're further away. But that's also quite logical, because people don't -- I mean, people come to us to order foods, right? So, groceries are close enough to that. They don't typically come to us to order pet food and therefore that requires some education from our side. But the U.K. is the clearest example of our progress there. We also see that in Europe. So in a lot of European countries, we've added quite some grocery chains already, but it is something that is still quite nascent in most markets.
Operator: We will now take our next question from Sean Kealy from Panmure Liberum.
Sean Kealy: If I could ask very quickly on the margin in Northern Europe. I particularly want to dig a little bit deeper on the profitability of the logistics operation there. Is it fair to suggest that you've got a slightly negative gross margin on the delivery operation there? And if so, how should we expect that to evolve as you continue to expand coverage of logistics across Northern Europe?
Jitse Groen: Yes, I think you need to take into consideration that running a logistical network in most of the EU countries is just very expensive compared to, for instance, running it in the U.K. There's very few markets in which we believe that running a freelance model is permissible. We've seen a couple of examples of competitors getting into trouble because of this. Now, it is a frustrating, slow car accident happening for competitors in most of our countries, but it still doesn't warrant us to do things that we think are in conflict with the law. So that means that you have a very long runway in getting your investments back. If you are going to start providing logistics in a 50,000 people town in Germany with low volume because it's a smaller town, it takes a long time to make that investment back. We think that's an investment we're willing to make. And we think it's a wise investment for us to make. But as with everything in food delivery, it's about scale. Now, we already have the scale in Germany, of course, that is helpful. But, yes, it is very expensive to run a food delivery network because in most countries, it's employees, it is hubs. In Germany, it gets worse because you get worse, councils, unions, bike masters, you can look it up what it is. So it is a very long return of money investment. So you see, also, if you look at our margin, it went down a bit because we've opened these smaller towns and extended ranges and more difficult times of the day, et cetera, and it will take some time to make that money back. Now, we've made most of the investments we wanted to make, most of the upfront investments. So for future profitability, that's good news. But still, it will take some time for us to get the amount of orders that we have projected for these smaller towns. If you open in a 50,000 people German town, don't think of this as a U.K. town. There will be only 1 chain, maybe 2, that you can put on there to get some traffic, and all the rest are local heroes. So it's very different, and it's an investment that will take some time.
Sean Kealy: So that makes a lot of sense. So it's right to think that most of the upfront investment in expanding the logistics network in Germany in particular is already done, and we shouldn't expect much of that to be coming through in the P&L on an ongoing basis.
Jitse Groen: A couple of points on that. So, first of all, it's not only in Germany, obviously we have 95% population coverage of Northern Europe. So I'm sitting next to a German, and he sometimes talks about Europe as if it were Germany, it's not. It's a lot of big area. So we're making these investments across Northern Europe, and I don't think we're ever ready and done. You might say that we take a bit of a leap in the future. Those are maybe towns that we would have started next year instead of this year. So we've taken this investment a bit closer to us to grow a bit faster, because we don't like the fact that our growth is low in Northern Europe and we want it to be higher. So this is why we're making these investments earlier. But I think this is the way to think about it, and you should not expect us to stop. So we will be in towns of 25,000 people at some point, just not now.
Operator: That's all questions we have for today, sir.
Jitse Groen: I'd like to round off this analyst and investor call by thanking you for participating and for your questions. And should you have any additional questions or remarks, please reach out to our Investor Relations team. Thank you, and goodbye.
Operator: Thank you. This concludes today's conference call. Thank you for your participation. Ladies and gentlemen, you may now disconnect.